Operator: Good morning. My name is Lisa and I will be your conference operator today. At this time, I would like to welcome everyone to the Myers Industries' First Quarter 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Monica Vinay, Vice President, Investor Relations and Treasurer, please go ahead.
Monica Vinay: Thank you. Good morning. Welcome to the Myers Industries first quarter 2018 earnings call. Joining me today are Dave Banyard, President and Chief Executive Officer; Matteo Anversa, Executive Vice President, Chief Financial Officer and Corporate Secretary; and Kevin Brackman, Chief Accounting Officer. Earlier this morning, we issued a news release outlining the financial results for the first quarter of 2018. If you have not yet received a copy of the release, you can access it on our website at www.myersindustries.com, under the Investor Relations' tab. This call is also being webcast on our website and will be archived there along with a transcript of the call shortly after this event. Before I turn the call over to management for remarks, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations and involve risks, uncertainties, and other factors, which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks, uncertainties, and other factors is set forth in the company's periodic SEC filings and maybe found in the company's 10-K filing. I'm now pleased to turn the call over to Dave Banyard.
Dave Banyard: Thanks, Monica and good morning, everyone. Thank you for joining us. We are going to start on Slide 3 with an overview of the first quarter of 2018. Was a straight fourth quarter force, we're pleased with our results. We're seeing continues improvement in the enterprise in many of different areas. Starting on the left side, we generated free cash flow of $11.6 million or 7.6% sales and we're on track to exceed our target of over 7% in 2018. Overall we saw strong sales in the quarter were up almost 12% organically and that was led by strong performance in our food and beverage markets, with - it's our third consecutive quarter of double-digit sales growth. Our pricing action and benefits from the manufacturing footprint realignment that we conducted last year are driving year-over-year margin expansion and sequential margin expansion. And we reduce debt in the quarter by $6.7 million, decreasing our leverage ratio to 2.3 times. And overall, we're on track with many of our strategic initiatives that we've outlined in the past. Did see a few challenges in the quarter in our Distribution segment, we saw some top-line challenges. Particularly driven by the exit that we conducted about a year ago from lower profitably line in our Patch Rubber business. We still do however in our Myers Tire Supply business had some underperforming territories. And so our focus areas on getting a better sales team in place and on on-boarding those reps and training them properly. Couple of the bright spots within that segment through the quarter, the gross profit of the business did improve and expand year-over-year. And we did have a successful product promotion in March and we are going to continue that type of continuous improvement throughout the year. With that I will now turn over to Matteo to go through our numbers.
Matteo Anversa: Thanks, Dave and good morning, everyone. Today I will review our first quarter 2018 financial performance as well as our balance sheet and cash flow. So if we turn to slide four of the presentation, I will walk you through an overview of our first quarter operating performance. And as always all the numbers in the presentation reflect continuing operations. So starting from the top net sales increased 11.7% to $152.6 million compared to $136.6 million of the first quarter of last year. If we exclude the impact of foreign exchange, the increase in sales year-over-year was 11.4%. The increase was primarily the result of higher sales of niche products to the agriculture end-market within Material Handling, partially offset by declines in the Distributions segment. Gross profit increased $5.4 million year-over-year due to higher sales volume and price, partially offset by unfavorable mix and higher raw material costs. The benefits from the pricing actions mitigated raw material inflation during the quarter and the gross profit margin also benefited from the footprint realignment and restructuring actions that we took in the material handling segment in 2017. Adjusted EBITDA increased $1.2 million to $18 million compared to $16.8 million of the first quarter of last year. The increase in gross profit was partially offset by higher SG&A costs, mostly due to increased variable incentive compensation. As a result, the GAAP diluted earnings per share were $0.25 compared to $0.11 in the first quarter of last year and adjusted dilutive earnings per share were $0.24 compared to $0.14 in the first quarter of last year. Please turn to slide five, I'll give you an overview of the performance of each of the segments. If we start from the top, in Material Handling sales increased by 18.6%, the increase in sales was - are driven primarily by the double-digit growth in our food and beverage end market, due to improved demand in agriculture. Sales growth combined with pricing actions in our Ameri-Kart business, which serves the RV and marine market also contributed to the increase in sales year-over-year. Our consumer end market was down double-digits due to timing of orders that are expected to be delivered in the second quarter of this year, versus the first quarter of last year. Adjusted EBITDA in the segment increased $2.1 million to $23 million. The increase was primarily the result of higher sales volume, partially offset by unfavorable mix, pricing actions partially offset increased raw material cost during the quarter. And additionally the footprint realignment and the restructuring actions that we took in the segment last year are driving the operating flexibility and the margin expansions that we aimed for. The costs savings from these actions are expected to be $8 million in 2018. Moving to Distribution, net sales declined by 7.2%, the decrease in net sales was partially the result of the deliberate exit of our low margin product line in our Patch Rubber business. Net sales in the Myers Tire Supply business was also down year-over-year, as sales continue to be impacted by the sales team turnover and open territories. The sales volume decline was partially offset by higher pricing, resulting from a new pricing structure that we put into place at the beginning of the third quarter of last year. Adjusted EBITDA in the segment declined by $0.5 million compared to last year. Positive price and favorable sales mix only partially offset the negative impact of the lower sales volumes. Higher compensation costs driven by investment in headcount also contributed to the decline in EBITDA year-over-year in Distribution. If we turn to slide six, I'll give you an overview of the balance sheet and the cash flow performance. So as Dave mentioned earlier, we generated strong free cash flow of $11.6 million for the quarter, which was only slightly below our free cash flow generation during the first quarter of last year. As you may recall that our free cash flow in the first quarter of 2017 included some large non-repeating pass-due collections of account receivables. We reduced our debt by $6.7 million during the quarter, partially due to the higher EBITDA and also partially as a result of a sales lease back transaction that we completed for our distribution center in Pomona, California, and the net purchase price for the transaction was $2.3 million. As a result, our net debt to adjusted EBITDA ratio decreased to 2.3 at the end of the quarter. Working capital as a percent of sale in the first quarter was 6% and working capital has been overall consistent in the last several quarters. And finally the capital expenditures in the quarter were $1.2 million compared to $0.5 million in the first quarter of 2017. With that I'll turn the call back to Dave, who will review the 2018 outlook.
Dave Banyard: Thanks, Matteo. And I just want to highlight something before we move on to our outlook around the cash flow. And I think the highlight of our cash flow has been the consistency over the past several quarters and that's what we aimed for. As I have said many times before, we believe that cash is the best measure of performance and we are very pleased with the results of a very consistent cash flow performance over the past year and half. Switching to slide seven, I'll start with going through the 2018 outlook, and we're going to - we're reaffirming our sales outlook of low to mid-single-digit growth for the year. And I'll now breakup the discussions in three buckets. At the top, our consumer and our food and beverage have been strong performers over the past several quarters. We expect that in the second half, we're going to have some challenges mainly based off of some difficult onetime comps from 2017. So, consumer we're expecting to remain flat, given the comp there will be some growth in share gain in that market. And then on the food and beverage side, we've already have as we highlighted earlier some solid growth in the first quarter. But we do have a more difficult comp in the second half due to the performance that we had in the fourth quarter. Second bucket, I'll talk about is the Vehicle segment. We're seeing continued strength there and particularly in the RV markets, I'd say the auto manufacturing market is steady, that's had a strong growth over the past few years, and that's steadied out. And then last, third, I'll talk about here are the industrial and the auto aftermarket. We're expecting industrial to be flat and auto aftermarket we're affecting our performance to be up low-single-digits. And I think we've underperformed in those markets in the past, I think we're seeing steady demand in both of those two markets. So we're expecting an improvement in performance as we look forward in both of those. With that, we'll open up to questions.
Operator: [Operator Instructions] Our first question comes from the line of Chris Manuel from Wells Fargo. Your line is open.
Chris Manuel: Good morning everyone. Just a handful questions here. First, if I could start with the distribution side it came in a touch below expectations. So could you maybe talk just a little bit about the promotional activities you did, the best you can kind of characterize them? You mentioned they're going to be ongoing, was that a first of all improvement in the top-line, was it a source of maybe challenge from the profit side, as you are - how should we think about that point one within there. But then also, I think I heard you mentioned Matteo that headcount was up and that was part of why EBITDA was down. But yet I also heard about staffing shortfalls and sales. So maybe kind of help me put those two comments together if they can be put together. It's been a bit since you started the sales initiatives, so wanted to get a sense of when you began to - or would think that that will begin to pick back up and come through.
Dave Banyard: Okay, so let me make sure I got your questions, Chris. Because there were number in there, I'll talk a little bit about the promotion that we did, then we'll talk a little bit about the SG&A investments, I think that's probably a better way to describe what Matteo was talking about here and how that relates to the sales force turnover. So let's start with the promotion, I think we've highlighted to you all before, when we do things strategically, we try to do them as cross functionally as possible. And so one of the initiatives that Chris putted together when he first arrived was to build a cross functional team around certain areas. And so this was a combination of effort from our marketing team our product team, our sales team, and frankly our operations team as well to deliver. And to go out and really push the sales force to find new customers with a targeted promotion and do it in a cross functional way so that there was a good coordination across all functions. I think they did a great job at that, really actually out delivered our expectations on it. These types of things obviously do require some sort of either stiff or some sort of discount. But I think if you look at our - I look at gross margins to understand how we're doing from a pricing power standpoint. And we did well in the first quarter in that. So I think overall, it was a success and it was a - it's I'll call the next set of actions we're taking. Our distribution has had several years of underinvestment. We've been pushing a number of different investments last year. And I think we're on to the next set of investments. We've seen some good results from the investments we've made last year. Now that's across the board, so now we're continuing to invest in new things to continue to improve the performance of that team. Those investments also include some additional people. We've have had some turnover, additional turnover and that's been a problem that we've had in the past as well. And really if you think about it it's around the certain underperforming territories and when we brought in new folks I think we haven't done as good of a job over the past year or two of getting those new sales people up to speed. And that leave some frustration with those folks in the field. So our strong sales professionals have really performed well as we've given them new tools. Some of our newer sales people have not and that has led to some additional turnover that we experienced last year. And so those are additional headcount that were adding it's really not a net-ad, but it's replacing folks that have left. And so - but there's a gap there and there's a learning curve there so we're altering our approach here in 2018 to how our on-boarding sales force. So I meet with over 20 sales reps about three weeks ago one on one - or not one-on-one but them in a room with me and Chris to talk about what we're trying to accomplish here at Myers Tire and based on a week training here in Akron and we think things like that different approaches that we're taking this year will help us.
Chris Manuel: Okay. So maybe just help me tie it all together, what's the path in this business, I mean, is this if I put this all together can this business get back to upper single-digit margins I mean, the revenue trajectory is been relatively steady but can you get back to upper single-digit margins or we just had some new processes and some new tools and some new components, but this is kind of the new normal how should I think about that?
Dave Banyard: Yes, that's a fair question, I mean, our goal is to certainly we know what we've been able to accomplish historically so we know what kind of profitability results we can get if we can grow this business and so that's the goal. I think I talked about this last quarter on the conference call certain businesses you have a fixed cost problem we have the right base of people and investments in this business we have to grow the top line now. The organization has done a nice job of expanding the gross margin, so when we grow that will flow to the bottom-line and it should be a nice benefit for us, but we got to get the trajectory of the top-line going in the right direction. As you know from talking to me Chris that's not always my focus with everyone that top-line at all costs and it's not the case here either. But this is a top line challenge that we have and we're not willing to at this point just really cut costs here, we have some targeted investments in this fixed costs that we're really trying to help grow the top line when that starts going up we should see that flow to the bottom-line.
Chris Manuel: Okay. So just as I think of a path then is this something that's maybe coming out of 2018 into 2019 do you think you can solve, is this a multiyear sort of thing?
Dave Banyard: Well, I think if you look at our outlook here on slide seven we're expecting to grow this business this year and that's our target, that's our goal.
Chris Manuel: Okay, fair enough. That helps okay. If I could maybe switch gears then for a second, in the Material Handling component as a whole you did better than we expected. So off to - look I don't think our modeling is right it's probably we had stuff misallocated between components, but if we kind of walk through these pieces it sounds like food and bev is doing well, expected to continue to do well. The industrial side it sounds like if I rehearing your outlook component doing some 80-20 so when you give us this outlook you're mainly talking about on the revenue side, are you saying in fact I guess my real question comes back to are you seeing pickup in industrial manufacturing and other components coming back to the U.S. And how do you feel you are positioned to monetize those over the next one, two, three years. So is this a business that perhaps is flat this year, but the next several years should be a GDP plus sort of endeavor or how would we think about that?
Dave Banyard: Well I think it's - well let me break it into two parts, the first part is the environment you're playing in the industrial environment and I'd say it's steady now, it's - I don't see any signs that it's going one way or the other we've had good increase in activity in that market and I'm talking in general here, macro not Myers specific. I think the U.S. manufacturing world has improved over the past two years and that it's nice and steady right now. And you're seeing that in a number of indicators industrial production, capacity utilization, ISM type metrics. Within our business we're in the phase of 80-20 where we're trying to figure out or we're figuring out where we are strong and where we're going to really emphasize our opportunities for growth. 80-20 is a growth tool, but when you start it you're simplifying first. And so simplification often drives a little bit of consolidation and so we're in that phase right now. The portions of our business that this is not just one or two P&Ls there is a number of different businesses that fit into this category. Some of those are growth areas and some of them aren't for us. And so we're going to in some cases ride whatever the industrial economy is doing and in other cases we want to take share and right now what we have not done is take share because we're trying to isolate where exactly we think our strengths are in that - in the niches that we want to play in within the industrial economy in general.
Chris Manuel: Okay, that's helpful. Just one last question, I'll turn it over, can you maybe talk to us about how you're feeling in the M&A pipeline. I'm sure you're looking at lots of things, but give us a sense of the things you are finding that valuations are coming more in line with some of the recent volatility we had, have tax changes helped to accelerate and learn things out of the woodwork, perhaps kind of where you are in the process and how you are feeling about it?
Dave Banyard: Sure, where we are in the process is it's we've done a lot - I think the team has done a great job over the past 18 months building relationships, building deal activity. So, we're seeing deals, I think pricing is still high in general across the market and that takes a little longer than a couple of quarters in some public market volatility to change. So, I think expectations are still high - it is a seller's market still. And that just being you have to find the right property that to go after you can't be - but that's always the case. So, it's really I don't treat any differently per say, but it's just I think certain businesses sell at a higher multiple and they deserve and we just exit those processes quicker because we don't see that stuff.
Chris Manuel: Okay, thank you. Good luck in the quarter.
Dave Banyard: Thanks, Chris.
Matteo Anversa: Thanks, Chris.
Operator: [Operator Instructions] Our next question comes from the line of Steve Barger from KeyBanc Capital Markets. Your line is open.
Ryan Mills: Good morning, guys this is Ryan Mills on for Steve.
Dave Banyard: Hi, Ryan.
Ryan Mills: Hey, congrats on the quarter. I just wanted - first question, could we talk about the pricing environment particularly in Material Handling, it sounds like price costs was a headwind for the segment this quarter? Can you maybe talk a little bit more about your ability to push price in that segment and our conversations with customers getting easier in regard to price? And do you have any contracts with customers that don't allow you to push raw material price increases in?
Dave Banyard: Okay. So, a couple of different questions there. I'll go backwards, the first is no, we can - we have pricing ability everywhere. Some of them - I will say some of our contracts are indexed, so those are - the mechanism is fixed, but that still allows for pricing. I characterize it this way it's improved, we have a bit of a lag and we have spent a lot of time over the past three or four months as inflation has become more steady we have improved upon our pricing processes. I'd say as we highlighted in our previous call a month or so ago, that we tend to be able to capture cost increases, but not capture margin. And so we're working on that and you're seeing a little bit of that in the first quarter, but still we're overcoming cost inflation, but not completely with, so you going to little bit of margin compression when that happened. So, that's how you should look at and that takes a little time to get those additional processes in place you have starting backlog that can always reprise, customers negotiate, the timing for a certain price increases, et cetera. The last part of your question was about the environment, I think that inflation is coming back. It does - there are probably some purchasing people in some of our customers that have never seen inflations, so they are not used to it. But it's - so there is a little bit of inertia there, but inflation is coming back a little bit and it's normal. I think this is normal stuff, this isn't - I think we're in a fairly abnormal environment for a several years with deflation. So this doesn't surprise us, we're improving on our processes, we're dealing with it and I think our customers are understanding that and it's - when you go in with facts and you explain the facts to your customer, there is - and you have a good relationship with your customer, those outcomes usually end up pretty well. And our business model of being of having strong customer intimacy in our niche markets drives that level of frankness with our customers. And so I think we are in a good position there.
Ryan Mills: Okay, good color. And then just looking at the business historically gross margins are down sequentially in 2Q from 1Q. You have some favorable price and mix in Distribution and then the pricing processes you talk about in Material Handling. Should we expect that trend to continue or do you think you can maybe keep gross margin kind of stable as the quarter progresses?
Dave Banyard: We don't really forecast our profitability or earnings, Ryan. So…
Matteo Anversa: I would say, Ryan, just to give you a couple of color here. Particularly in Material Handling right now, what you saw in the first quarter in terms of comparison 1Q 2018 versus 1Q 2017, the costs of risen obviously was higher. The costs of resin right now has stabilized so the exit rate compared to where we were at the end of the year, pretty much confirmed in the first quarter actually it was a little lower. So I would say that the pricing actions that we implemented and Dave talked about would allow us in - through the continuation of the year to have some positive value gap.
Ryan Mills: Okay. Then just a couple of more for me, I want to go back to distribution, could you give an update on the sales force effectiveness initiatives you are taking, I am not looking for guidance or anything, but when do you think you'd be able to return to growth in that segment?
Dave Banyard: Right, so I think that our goal is to get it to growth by the second half, that's what we're indicating here in our outlook. I'd say from a status standpoint, we - I'll break it up two more, how I broke up our five macro markets here, there are really three groups of territories. We have territories that are very strong and those territories are performing very well now, and they are performing better than they were before the tools that we implemented. And so, that tells me that the tools work in the hands of a great sales team. And we are working on building a great sales team everywhere, we don't have that yet. I think we've brought in some - I was very impressive with the group that I met with as I highlighted earlier. I think we are starting to recruit higher level of talent we're bringing in strong people and we're training them better, that's been a big - I think we miss that, I'll be the first to tell you when I think we miss something that's one I think we missed. We didn't train our new people well. So we are focusing on that this year. There is a middle group, that has done good job of using the tools and every organization has a middle group and that's fine. What we're really focused on is how do we get the territories that have underperformed backup to a growth level, because that's really what's pulling down the top line of the entire group. So, it really does breakout that way. The underperforming territories as you would imagine given our results are just underperforming by a lot more than our top performing territories that are over delivering. So we have got to change that equation and I think we're on the right path here, with things like bringing in and training our people better, things like promotions that give a new sales person a reason to walk in the door with the new customer that they maybe not had in the past things like that.
Ryan Mills: Okay. And then my last one, over the last three quarters growth incrementals have been pretty solid, averaging about 20%. Just thinking about your guide and tougher comps in the back half. How should we think about incrementals in maybe a low single-digit growth environment.
Dave Banyard: I'd - I frame it you this way. Again I - that's an important metric to us, we look at that and we look at gross margin and how that should improve overtime. Those are things that we really hold our team accountable to. I am not going to give you any specifics on it, but that scenario to us is a very important metric in how we judge our performance when we are comparing period over period. And so we aim to continue to improve that as we go forward, that's our goal again, I mean, it's a lot of different moving parts in here with particularly the cost inflation that does compress that a little bit. But I think when you do things like large costs takeouts like we did last year, we expect to see that come through in the incremental gross margin.
Ryan Mills: Congrats on the quarter, and thank you for taking my questions.
Dave Banyard: Sure, thanks Ryan.
Operator: Our next question comes from the line of Chris McGinnis with Sidoti & Company. Your line is now open.
Chris McGinnis: Good morning, thanks for taking my questions, nice quarter.
Dave Banyard: Thank you, Chris.
Chris McGinnis: I guess, can you just maybe comment on the one-time orders that you had last year and the likelihood of them not reoccurring this year. And was that weather related, I know there was a lot of issues around U.S. last year? Thanks.
Dave Banyard: Right, I think there are two dynamics at play that are what I would call extraordinary, one was the storm activity weather related. We hope frankly to not see that again. That's an abnormal environment, I think there generally you can say there is probably going to be a storm, but we really saw an outsized demand there from the storm activity last year, and we don't expect that to repeat. And then on the I'd on the food and beverage side, primarily in the ag, I think, there was a bit of pent up demand from a couple of years of a lower market as well as the M&A activity that was occurring at our customers. They tend to shut-off capital spending during those period, large scale M&A. So these are extended timeframes for combining, and so throughout that period they tend to not have the kind of resources that they would normally have so those two combinations drove I think in second half last year that had some one-times in it that I don't think we'll see again.
Chris McGinnis: Okay. And then lastly, just quickly on the RV outlook obviously it seems pretty strong, can you just maybe comment how strong relative it is now versus maybe in last year or how you expect it to perform throughout the year in terms of stronger at one point than the other? Thanks.
Dave Banyard: Sure, I think that RV has a pretty strong correlation to consumer sentiment, I will say again I think that industry as a whole has done a wonderful job of not only marketing, but designing products that people want and are using. But they've been experienced historic growth and I think that any reasonable person would look at that and say that at some point it starts to taper off even if they continue to deliver the same volume that they're doing every year. They've geared up for it, all of our customers have done a really nice job of expanding and managing through a strong growth rate, which is hard to do it's almost as hard or harder sometimes than the other way. But I think you got to keep an eye on consumer sentiment and I think this year we continue to see good demand, but I think at some point it just has to kind of taper off a little bit. So - and we're expecting that and we're preparing for that.
Chris McGinnis: Great, thanks and good luck in Q2.
Dave Banyard: Thanks, Chris.
Operator: Our next question comes from the line of Chris Manuel from Wells Fargo. Your line is open.
Chris Manuel: Hi, guys just one follow-up that I wanted to ask Dave, if you look at - I know part of - you've talked in the past about doing a revamp and preparing the business for e-commerce and some things of that nature, but perhaps if you could address it both in mainly in distribution, but also across the rest business how have you changed altered adjusted to your business to better accommodate what seems to be a preference both whether it's individuals, whether it's companies or different ways of e-commerce. And then particularly when I think of the distribution unit how you handled is a different way of folks to order whether it's via the vending machine solution that you commented refill or what have you, but how you have been able to accommodate that and use that to your advantage? Thanks.
Dave Banyard: Sure I'd say there are three things that we've done and I'll be the first to admit we're not an example to be held up is some new economy type company we're a manufacturer and a distributor and many of our products are sold business to business and direct. And so there's a very human element to a lot of it, which is good we like that. However, I will highlight a couple of things that I think are changes that we've made there some of them are subtle, but they're important. First of all we sell through online quite a bit in some of our - through some of our channels. So particularly in the industrial distribution as an example that's an scenario where we are as robust in e-commerce through our customers if you will as any other product out there. So that - and we do see it a decent amount of demand that comes through channels like Amazon, but also our customers like Ranger. So we do take the advantage in that sense of the platform that our customers have. The second piece I'll highlight is that the e-commerce is really an information flow more than it's a channel that's as transparent as you can get, and that's one of the innovations it's nice in that way, it's also can be difficult in that way. But you get feedback from your customers with these online reviews, people will teak you and that's good. We want to hear from people and in some ways we've been able to particularly in situations where we don't have that direct link to the customer because we sell through either a large retail channel or through an industrial distribution channel we don't necessarily know how our end users like or dislike our product. And we've been paying more attention to that because it's important and people are actually spending the time to give us that feedback so you want to get. And then lastly to your point specifically on the distribution side, we do have an e-commerce platform there it's not the most robust, it's something that we're looking to improve, it's a starting point for us. And we want to learn - before we really invest heavily in that we want to learn exactly what our customers want from that type of platform. And again I kind of go back to me e-commerce is an information management type of play. It's an ease of access to some extent, but it's also how can we learn from what we're seeing because there's a lot of data that comes from these kind of things and we're not specifically geared up yet to deal with that, but it's - we're aware of it and it's something that we're starting to pay attention to more.
Chris Manuel: Okay, thank you.
Dave Banyard: Thank you, Chris.
Operator: We have no further question thank you. I'll turn the call back to the presenters for closing remarks.
Monica Vinay: Thank you. We thank all of you for your interest in Myers Industries and your time and participation today. As a reminder a transcript of this call will be available on our website within approximately 24 hours. A replay will be immediately available via webcast or call. Details can be found on the Myers Industries' website under the Investor Relations tab. Thanks, have a great day.
Operator: This concludes today's conference call. You may now disconnect.